Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2015 Akamai Technologies Earnings Conference Call. My name is Derrick and I'll be your operator for today. At this time, all participants are in a listen-only mode. We shall facilitate a question-and-answer session at the end of the conference. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Mr. Tom Barth, Head of Investor Relations. Please proceed.
Tom Barth - Head-Investor Relations: Thank you and good afternoon and appreciate you joining us for Akamai's third quarter 2015 earnings conference call. Speaking today will be Tom Leighton, Akamai's Chief Executive Officer; and Jim Benson, Akamai's Chief Financial Officer. Before we get started, please note that today's comments include forward-looking statements including statements regarding revenue and earnings guidance. These forward-looking statements are subject to risks and uncertainties and involve a number of factors that could cause actual results to differ materially from those expressed or implied by such statements. Additional information concerning these factors is contained in Akamai's filings with the SEC, including our annual report on Form 10-K and quarterly reports on Form 10-Q. The forward-looking statements included in this call represent the company's view on October 27, 2015. Akamai disclaims any obligation to update these statements to reflect future events or circumstances. As a reminder, we will be referring to some non-GAAP financial metrics during today's call. A detailed reconciliation of GAAP and non-GAAP metrics can be found under the financial portion of the Investor Relations section of our website. With that, let me turn the call over to Tom.
Frank Thomson Leighton - Chief Executive Officer & Director: Thanks, Tom, and thank you all for joining us today. Q3 was another solid quarter for Akamai on both the top and bottom line. Revenue in the third quarter was $551 million, up 11% year-over-year, and up 15% when adjusted for foreign exchange headwinds. Once again, revenue growth was especially strong for our Cloud Security Solutions, which grew 44% year-over-year in constant currency. Our annualized revenue run rate for our Cloud Security Solutions now exceeds $250 million per year, making Akamai one of the Internet's largest cloud security providers. Non-GAAP EPS for the third quarter was $0.62 per diluted share, exceeding the high-end of our guidance range and unchanged year-over-year, but up 5% when adjusted for foreign exchange headwinds. Our higher-than-expected earnings were bolstered by a favorable tax rate from a higher mix of foreign earnings, which positively impacted non-GAAP net income by $5 million, or $0.03 per diluted share. I will be back in a few minutes to talk more about the third quarter and the opportunities that lie ahead. But first, let me turn the call over to Jim for our detailed financial results and the outlook for Q4. Jim?
James Benson - Chief Financial Officer & Executive Vice President: Thank you, Tom, and good afternoon, everyone. As Tom just highlighted, Akamai performed well in the third quarter. Q3 revenue came in slightly above the midpoint of our guidance range at $551 million, up 11% year-over-year or up 15% if you adjust for foreign exchange headwinds with solid growth across most of the business. Media revenue was $245 million in the quarter, up 5% year-over-year, or up 10% on a constant currency basis. As I mentioned in our last earnings call, we expected a moderation in media revenue growth when compared to our very strong Q3 of 2014. And while we had solid growth this quarter across the vast majority of the customer base, as expected, traffic and revenue growth slowed considerably in some of our largest media accounts. As we have discussed in the past, the drivers of the media business, namely traffic volumes and price can lead to revenue variability from period to period, given the timing of customer renewals at lower price points, the size, timing and delivery mechanism of software and gaming releases, as well as the adoption of social media and video platform capabilities. And while media growth rates have moderated over the past few quarters as compared to the significant growth we saw in 2014, we believe the traffic and revenue growth upticks and downticks are just the nature of this business. We continue to remain bullish on the longer-term secular growth trends for this business. Turning now to our Performance and Security Solutions, revenue was $263 million in the quarter, up 15% year-over-year, or up 18% on a constant currency basis. Within this solution category, we saw solid growth across most of the product lines. And as Tom mentioned, we continue to see strong growth in demand for our cloud security offerings. Third quarter revenue for our Cloud Security Solutions was $65 million, up 39% year-over-year or up 44% on a constant currency basis. We are pleased with our continued growth and the market recognition of our unique and differentiated cloud security capabilities. Finally, revenue from our Services and Support Solutions was $43 million in the quarter, up 19% year-over-year or up 24% on a constant currency basis. We continue to see strong new customer attachment rates for our higher and enterprise class professional services as well as service offering upgrades into the installed base. Turning now to our geographies, sales in our international markets represented 27% of total revenue in Q3, up one point from the prior quarter. International revenue was $150 million in the quarter, up 12% year-over-year or up 27% on a constant currency basis. The stronger dollar continued to weigh on growth rates and had a negative impact on revenue of $20 million on a year-over-year basis and $2 million on a sequential basis. On a constant currency basis, we continue to see solid growth in both our Asia Pacific and EMEA markets. Revenue from our U.S. market was $401 million in the quarter, up 10% year-over-year. Most of this quarter's media growth moderation came from the U.S. where our largest media customers reside. Outside of media, revenue growth was solid across the other product lines. And finally, revenue through channel partners represented 26% of total revenue in Q3, down one point sequentially. Channel revenue was $146 million in the quarter, up 20% year-over-year in constant currency with continued strong growth coming from our carrier partners. Moving on to costs and margins, cash gross margin was 77%, consistent with Q2 levels, down one point from the same period last year, and in line with our guidance. GAAP gross margin, which includes both depreciation and stock-based compensation was 67%, consistent with the prior quarter, down one point from the same period last year, and also in line with our guidance. GAAP operating expenses were $252 million in the quarter. These GAAP results include depreciation, amortization of intangible assets, stock-based compensation, acquisition related charges, and other nonrecurring items. Excluding these charges, non-GAAP cash operating expenses were $203 million, down $1 million from the prior quarter and slightly below the low end of our guidance primarily due to discretionary spending reductions. Adjusted EBITDA for the third quarter was $222 million, up $8 million from Q2 levels and up $9 million from the same period last year. Adjusted EBITDA margin came in at 40%, consistent with Q2 levels and down three points from the same period last year and in line with our guidance. GAAP depreciation and amortization expenses were $75 million in the third quarter. These GAAP results include depreciation associated with stock-based compensation, amortization of intangible assets, and the amortization of capitalized interest expense. Excluding these charges, non-GAAP depreciation was $65 million, up $1 million from Q2 levels and slightly below our guidance given the timing of network and capitalized software projects deployed in the platform. Non-GAAP operating income for the third quarter was $157 million, up $7 million from Q2 levels and consistent with the same period last year. Non-GAAP operating margin came in at 29%, up one point from Q2 levels and down three points from the same period last year, and above our guidance due to lower operating expenses, as I described earlier. Moving on to the other income and expense items, interest income for the third quarter was roughly $3 million, consistent with Q2 levels. Non-cash interest expense related to our convertible debt was roughly $5 million, also consistent with Q2 levels. As a reminder, this non-cash expense is excluded from our non-GAAP results. Moving on to earnings, GAAP net income for the third quarter was $88 million, or $0.49 of earnings per diluted share. Non-GAAP net income was $112 million or $0.62 of earnings per diluted share, coming in $0.04 higher than the high end of our guidance range. As Tom mentioned earlier, we had a more favorable tax rate than expected, driven primarily by a higher mix of foreign earnings which positively impacted non-GAAP net income by $5 million or $0.03 of earnings per diluted share. Excluding this favorable tax rate, our non-GAAP earnings would have been $0.59 per diluted share, coming in $0.01 above the high end of our guidance range. For the quarter, total taxes included in our GAAP earnings were $26 million based on an effective tax rate of 23%. Taxes included in our non-GAAP earnings were $48 million based on an effective tax rate of 30% and lower than our guidance due to a revised full year 2015 tax rate projection that reflects a higher mix of foreign earnings. Finally, our weighted average diluted share count for the third quarter was 180 million shares, down slightly from Q2 levels and in line with our guidance. Now, I'll review some balance sheet items. Days sales outstanding for the third quarter was 59 days, consistent with Q2 levels and down one day from the same period last year. Capital expenditures in Q3, excluding equity compensation and capitalized interest expense, were $99 million, and coming in at the midpoint of our guidance range for the quarter. Capital generation continue to be solid in the third quarter. Cash from operations was $183 million in the quarter and $546 million year-to-date. During the quarter, we spent $76 million on share repurchases, buying approximately 1.1 million shares at an average price of $72. At the end of Q3, we had $231 million remaining on our current share repurchase authorization. Our balance sheet also remains very strong with roughly $1.5 billion in cash, cash equivalents, and marketable securities on hand at the end of the quarter. If you factor in our convertible debt, our net cash is approximately $815 million. As we discussed in the past, we believe the strength of our balance sheet and cash position is an important competitive differentiator that provides us the financial flexibility to make key investments at opportune times. As always, our overall goal is to deploy our capital in a manner we believe is in the best long-term interests of the company and our shareholders. Looking ahead to the fourth quarter, holiday seasonality plays a large role in our performance, driven by online retail traffic for our e-commerce customers and traffic for our large media customers. As a result, it is the quarter that is most impacted by the external macroeconomic environment which remains hard to predict. In addition, we expect continued foreign exchange headwinds to weigh on year-over-year growth rates. At current spot rates, foreign exchange fluctuations are expected to have a negative impact of $12 billion compared to Q4 of last year. Lastly, and most notably, we expect a decline in revenue in Q4 in three of our largest U.S. media accounts, driven primarily by slowing traffic growth compared to our very strong Q4 of 2014. The impact is expected to be magnified by their do-it-yourself efforts, but most of the impact is from less traffic growth overall. We are also anticipating slower traffic growth from our software download business which also had a very strong growth last Q4. To provide additional insight, it's worth noting that media pricing overall has continued to decline at normal historical levels. Competition in the media business remains constant but is not expected to be a significant factor in our traffic and revenue estimates. And while we expect media growth rates to continue to moderate in the near term and heading into 2016, we remain bullish on the medium to long-term growth prospects for this business, namely the potential for an increase in the amount of video traffic that could move online. Over-the-top traffic is much more difficult to serve at quality and scale and therefore not subject to the same do-it-yourself activity you see for less performance sensitive areas like software downloads. Factoring in all of these items, we are expecting Q4 revenue in the range of $557 million to $577 million. This range represents 6% to 10% growth adjusted for foreign exchange movement over an exceptionally strong fourth quarter last year. To frame the guidance range, if the holiday season traffic is particularly strong, you would expect to be near the higher end of the revenue range. If the holiday season traffic is weak, then we would expect to be towards the lower end of the range. At these revenue levels, we expect cash gross margins of 77% and GAAP gross margins of 66%. Q4 non-GAAP operating expenses are projected to be $204 million to $211 million. We have purposefully slowed down the rate and pace of head count additions and discretionary spending to align with our near-term top line growth expectations. But we are continuing to make prudent investments in the business that we believe are necessary to build a foundation for a sustained long-term growth and scale. Factoring in the various items I just mentioned, we anticipate Q4 EBITDA margins of 40% to 41%. And as I have been messaging, looking beyond Q4, we will strive to operate the company in the 40% to 41% EBITDA range for the foreseeable future. However, to be transparent, and as I mentioned last quarter, maintaining EBITDA margins at 40% to 41% will be heavily dependent on several factors, including revenue volumes, possible M&A, spending on platform capacity in anticipation of greater demand for our over-the-top video delivery services and foreign exchange movements. Moving on to depreciation, we expect non-GAAP depreciation expense to be $68 million to $69 million. Factoring in this depreciation guidance, we expect non-GAAP operating margin of 28% for Q4. And with the overall revenue and expense configuration I just outlined, we expect Q4 non-GAAP EPS in the range of $0.60 to $0.64. This EPS guidance assumes taxes of $47 million to $50 million, based on an estimated quarterly non-GAAP tax rate of roughly 30%. This guidance does not include a benefit from the federal R&D tax credit which is uncertain to be reinstated by the year end. This guidance also reflects a fully diluted share count of approximately 180 million shares. On CapEx, we expect to spend approximately $78 million to $88 million in the quarter, excluding equity compensation. Of course, we will continue to balance network investment against future revenue opportunity and continued network initiatives. Now, let me turn the call back over to Tom.
Frank Thomson Leighton - Chief Executive Officer & Director: Thanks, Jim. As Jim just mentioned, we are projecting some moderation in the growth of our U.S. media business, primarily due to slower traffic growth in a few of our largest accounts. Of course, we are never happy to see slowdowns in traffic growth rates. But as those of you who are familiar with our 17-year history know, we have experienced similar decelerations in traffic growth in the past, most notably in 2011. And in each case, Akamai emerged stronger and more diversified than ever before, as evidenced by our business performance over the past several years. To be clear, the rest of our global media business is very healthy. Our overall media traffic is still projected to grow at a substantial pace, and I am very optimistic about the future growth of our media business. Major broadcasters and Internet companies around the globe are moving more media content online, and they are turning to Akamai for help. Online media and the potential for broadcast OTT were central themes among the 1,700 participants from 42 countries at our eighth annual customer conference in Miami last week. Media customers at the conference reaffirmed their desire to move more content online and their desire to partner with Akamai to provide the ultimate in quality, scale, and security for the delivery of their video content. At the conference, we demonstrated our latest end-to-end video delivery technology which is designed to manage the many challenges and complexities of delivering OTT content. This includes our unique approach of streaming content to a global network of over 200,000 edge servers located close to end-users, which allows us to bypass congested peering points, resulting in a more reliable viewing experience for end users. Our superior communication and video transport protocols which are designed to deliver the kind of higher-quality picture that is expected by users and broadcasters alike, and our client-side software, which is now installed on over 100 million clients around the world and designed to greatly improve quality and scale while also lowering costs. There is, of course, uncertainty concerning the timing of when various OTT services may become available and also how successful they will become. Our goal at Akamai is to be ready and to help enable the adoption of OTT by providing a service with true broadcast-level quality and scale. Security was also a top concern for customers across all verticals at the conference. Many customers toured our Security Operations Center in Fort Lauderdale where they witnessed first-hand how our flagship security solutions, Kona Site Defender and Prolexic, are differentiated by their scale, their sophistication, and their unique ability to sustain performance while leveraging our massively distributed platform as a defensive shield against attacks. We also demonstrated our new Client Reputation and bot management services. Our first Client Reputation service was introduced in Q2 and already has over 40 customers. This service identifies IP addresses that have attacked or abused customer websites by leveraging behavioral analytics and the enormous volume of web traffic that Akamai handles. Our customers can then proactively alert or block the malicious users based on a risk score derived from their prior actions. Bot manager is our newest security service and is now in beta with 18 customers. Bots are automated software agents, and they have become a significant issue for our customers. On a typical day, Akamai sees over 10 billion requests from over 60 million bots. Some bots, such as search engine bots, are helpful, but many are harmful. Malicious bots can steal intellectual property and personal information, scrape prices, and consume significant bandwidth and server resources. Some of our customers have been surprised to learn that over half of their traffic is from bots. Bot manager identifies over 1,200 types of bots and enables our customers to customize their response to request based on the type of bot. Typical responses include allowing fast and unlimited access for search engines, prioritizing the activity of partner bots, and slowing down responses or serving alternate content to malicious bots. Although we are excited about our new Client Reputation and bot management services, our longer term ambitions for security are much broader. Thus far, Akamai's approach to security has been to focus on protecting data centers, websites, and web applications from cyber attacks. Going forward, we also plan to create cloud services designed to protect end users and enterprise employees from malicious web attacks. Our first enterprise security product is scheduled for release in late 2016, and it is designed to detect and prevent phishing, malware, and data exfiltration attacks against enterprises. Building on the acquisition of Xerocole earlier this year, we have already deployed some of this technology in a product for our carrier partners which they use to block access to undesirable sites for their subscribers. This technology is already being used to process many billions of requests per day on behalf of 50 million subscribers across 21 carrier partners. We plan to combine the data gathered from these requests with the already enormous amount of data that Akamai gathers on a daily basis to further strengthen all of our cloud security offerings. In addition to working with many of the world's leading carriers, we are also establishing close relationships with major cloud providers. Last week at our customer conference, we were very pleased to announce our new partnership with Microsoft, which will provide for automated access to Akamai's content delivery network through Microsoft Azure. The new Azure CDN offering is designed to optimize the delivery of content and the performance of applications deployed on Azure. As part of our expanded relationship, Microsoft sales force is also planning to sell Akamai's market-leading acceleration and security solutions. In summary, we are continuing to focus on solving the grand challenges faced by our customers, delivering video over the Internet with unprecedented quality, scale, and affordability; providing near instant performance for websites and apps on any device anywhere; securing websites and data centers from cyber attacks that seek to disrupt their online operations, corrupt their data, or steal sensitive information; and scaling enterprise networks to handle new cloud workloads efficiently, securely, and cost effectively. These are very hard problems, but I believe that Akamai is very well-positioned to provide solutions, and that by doing so, we can continue to return significant value to our shareholders. I also want you to know that while there will always be bumps along the way, I am as excited as ever about our prospects for future growth. Thank you for your time today. Now, Jim and I will take your questions.
Operator: Our first question will be from the line of James Breen, William Blair.
Jim D. Breen - William Blair & Co. LLC: Thanks for taking the question. Just a couple of questions, one on the guide. Jim, can you give some color into the breakdown there? It sounds like Performance and Security is doing okay. So the weakness relative to where consensus was, is that mainly in the media group? And I guess for Tom on that, is this sort of a fundamental change with your relationship with those three big media companies? There has always been a concern about some of those large players doing it themselves in terms of handling traffic internally within their own networks. Can you sort of give us some color on that? Thanks.
James Benson - Chief Financial Officer & Executive Vice President: Yeah, I'll take the first part of it. Then I can let Tom comment on kind of the do-it-yourself efforts. But certainly you could tell from the guide, this is predominantly a media story as far as the deceleration in growth rate that we're still having very, very healthy growth rates in our Performance and Security Solutions, and our Services and Support Solutions. We don't guide necessarily by product category, but if you generally look at the growth rates we've had in those other areas, you can certainly see that media growth rates are going to be effectively flat to up very significantly, or down very significantly. This is largely in the Americas, and it is really very heavily focused on these three particular accounts, and as you can imagine, we had a huge, huge Q4 last year with these accounts. These accounts in Q4 grew well over 40% year-over-year last Q4. So it's a very difficult compare, but admittedly, we are seeing a slowdown in those accounts off of very strong Q4 of last year, and it is magnified by the fact they do serve some of their own traffic. But we believe kind of the bigger slowdown in traffic here is that traffic overall is slowing, not so much an acceleration and kind of do-it-yourself. And Tom can maybe comment on do-it-yourself.
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah, I don't see a fundamental change in our relationship with our largest media customers. I am close to these accounts, and I would say our relationships are very strong. Now, as we've talked about, the largest few media companies do have do-it-yourself efforts, and we've competed with these efforts very successfully over the years, and I think we continue to do that. Now, one thing that happens when they carry a substantial portion of their traffic over do-it-yourself networks is, if the overall traffic is less growing at a slower rate and less than expected, well, there's a tendency to fill up the do-it-yourself effort first, and then we would get the remainder which leaves us with even slower traffic growth. And we are projecting to see some of that in Q4, and maybe into early next year. The flip side of that coin, we saw last year, whereas if the traffic is growing stronger than projected and at a very fast clip, then we tend to get more than we would otherwise get because it flows to us. So the DIY effort does tend to magnify the swings, with the largest few accounts. And those customers do provide a significant portion of our media revenue and so you do see it reflected in the guidance going forward.
Jim D. Breen - William Blair & Co. LLC: And you're seeing the growth internationally. I'm assuming it's one – with some of those accounts as well, they're feeling that you are still going to be a main supplier for them in terms of transport outside the U.S.?
Frank Thomson Leighton - Chief Executive Officer & Director: Yes, we have very strong relationships on a global basis with the major media companies. We have not seen the same behavior that we have in the three accounts that we talked about. We haven't seen that behavior as much overseas. And in general, I am very bullish on the medium and long-term growth of the media business. We continue to invest there, and we are seeing the deceleration in the three particular accounts now, and that may persist for some time. But I think then, as we look at potential of more video moving online, we have to see what the timing of that is and the scale. But that could put us in a very good position for future growth.
Jim D. Breen - William Blair & Co. LLC: And just one last one. Does this at all change your longer term view of high-teen's growth over the next five years?
Frank Thomson Leighton - Chief Executive Officer & Director: We still have the same goals for 2020. We are on a good clip overall for that. I think we are ahead of where we needed to be. On the other hand, as growth decelerates in media in the near term, we'd like to see that reaccelerate in the future. I should also add, in terms of the DIY, the DIY is most relevant for the kinds of traffic where performance is not as important. An example would be a background software download. And there's literally been cases where it might take eight hours whereas on Akamai, it might take eight minutes and if it's in the background and not urgent, maybe that's okay. As we look to the future and you think about what really drives traffic growth in the future, and probably video is a big source of that, particularly live and linear video and broadcast moving over-the-top over the longer-term, that is much harder to do, and performance really matters a lot. And there were a lot less – DIY is a lot less competitive in that kind of situation.
Jim D. Breen - William Blair & Co. LLC: Great. Thank you.
Operator: Your next question is from the line of Gray Powell, Wells Fargo.
Gray W. Powell - Wells Fargo Securities LLC: Great. Thanks for taking the question. So your server account really spikes starting in mid-2015, and I guess that it's in anticipation of future traffic growth likely in 2016. I'm just kind of curious what kind of visibility do you have on initiatives that could drive traffic growth higher next year. And then what's your confidence level around them?
Frank Thomson Leighton - Chief Executive Officer & Director: I would say that we have some visibility there, but there's a lot of uncertainty, and there's a lot of factors that are certainly beyond our control. I think with perfect hindsight, we probably would've spent a little bit less on CapEx this year, but we don't have perfect view into when various OTT offers will become available or how successful they'll be. And our goal is to be ready and to make sure that we have a platform that can deliver any broadcast OTT that becomes available in very high quality and scale and also make sure it's affordable. And so we will, as we talked about before, lean in there. And really the worst that happens is we are a little too early and that we will eventually be using that capacity. And we just don't know exactly when, but we're going to be ready.
Gray W. Powell - Wells Fargo Securities LLC: Okay. That's very helpful. And then that actually kind of leads into my next question. If I look at 2013 and 2014 and your cash expenditures like CapEx plus OpEx, they grew at a slightly faster pace than revenue. And then in 2015, we've seen a bit of a divergence with expenses growing more in excess of revenue. I know you don't want to give guidance on 2016, but when should we see more of a direct correlation between expense and revenue growth?
James Benson - Chief Financial Officer & Executive Vice President: Well, yeah, to be clear, I think what you've outlined is true. But we were very clear that was our intention. The intention of the company back in the 2012 timeframe was we felt that we were going to purposely lower the financial model of the company to make what we thought were the right investments to drive future growth and scale. And so it was by design that we made these investments. Yes, they grew at a faster pace than revenue growth, more on the OpEx side than the CapEx side. And certainly, as you can see, we did moderate spending in Q3 with the near-term revenue moderation that we saw. We are moderating spending in Q4. And we'll continue to manage spending in alignment with revenue growth of the company. I did provide some caveats that obviously – that depends upon revenue volumes, possible M&A we do and things of that nature. But I want to be clear that where the company financial model is now is effectively what we said we were going to do. Yes, this year we're going through a year where we're spending a little bit more on CapEx. So my – long-term model that I provided has 18% of revenue as kind of the high. And we're probably going to be more in the 19%. And that's largely from building up more network CapEx, as Tom mentioned, which is a bit in anticipation or was in anticipation of demand in the future. And as Tom said, the timing of that is very, very difficult to assess. But we get better visibility, call it, on a three-month window. And so we can always moderate future CapEx investments based on the visibility that we see.
Gray W. Powell - Wells Fargo Securities LLC: All right. That makes sense. All right. Thank you very much.
Operator: Your next question will be from the line of Sterling Auty, JPMorgan.
Sterling Auty - JPMorgan Securities LLC: Yeah, thanks. Wanted to start with – I still want to get a little bit more clarity in terms of when we look at the fourth quarter and the slowdown in media, exactly how much of the slowdown is the DIY impact versus how much of that slowdown is just general slowing volumes in the media industry or segment?
James Benson - Chief Financial Officer & Executive Vice President: Yes. It's mostly the former, which is the top three accounts. And again, these top three accounts in our media business represent a reasonably large percentage because these are big, big, big media companies. So the biggest share of the revenue deceleration and actually these three accounts are declining year-on-year. And so again, their revenue weighting is pretty high for our media business. The rest of the media business is actually performing reasonably well. We are seeing a little bit of a slowdown, as I mentioned, in our software download customers. And as we've shared with you in the past that the timing of gaming and software downloads varies from quarter to quarter, we're not expecting a huge software download quarter. We expect a reasonably good gaming quarter this quarter, but the bigger driver of the revenue deceleration is these large three accounts and modestly a little bit of softening in the software download customer base.
Frank Thomson Leighton - Chief Executive Officer & Director: Right. And that is the overall traffic is not growing at as fast a clip. And as we talked about a few minutes ago, when you combine that with an existing DIY infrastructure and the nature of that traffic, that can lead to substantially disproportionate deceleration in the traffic that we're carrying in those accounts.
Sterling Auty - JPMorgan Securities LLC: So, about a year ago, you were willing to at least give us a way to triangulate the size of your largest media customer. I think you gave us a percentage of accounts receivable. Can you give us some sense of what portion of the media business these top three represent?
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah. I'm not going to provide a specific percentage. Obviously, as I shared before, our largest customer, we don't have any 10% customers, but as I shared before, we obviously have had a 10% receivable customer in the past. And these three customers are, call that, no one is larger than the largest customer, but customers two and three are not that much smaller. So that gives you some kind of order of magnitude of the size of these customers. And these are almost predominantly, not exclusively, but almost predominantly media customers. So that's largely where you see the impact for our media business.
Sterling Auty - JPMorgan Securities LLC: And last question (37:50) you talked, Tom, I think you mentioned that this impact could persist. Should we be walking away from this thinking that we need to see the OTT initiatives kicking in as the catalyst to get this part of the business to rebound, or is there any other items that could come along to offset some of this impact?
Frank Thomson Leighton - Chief Executive Officer & Director: Well, the even years can be better in terms of the major sporting events like Olympics and so forth. And events themselves don't do that much, but they do tend to get people to try a higher bandwidth or higher quality format which drives more traffic, more devices are used. So there can be some benefit there. I would say if large amounts of content, broadcast content, comes over the top, that can make a difference. And then obviously we're sort of setting up a different base here, at least we're projecting to through Q4. And so just with time through the year, the effect will become mitigated in terms of our growth rates.
Sterling Auty - JPMorgan Securities LLC: Okay. Thank you.
Operator: Your next question will be from the line of Steve Milunovich, UBS.
John M. A. Roy - UBS Securities LLC: Thank you for taking the questions. John Roy in for Steve. Hey, I know you don't have the OTT timing, but can you give us an idea what OTT might do to margins? Any type of color would be useful on that.
Frank Thomson Leighton - Chief Executive Officer & Director: Well, the volume of traffic we talked about, I think, on the call last time. If you imagine, and I don't know if and when this will happen, you had five million people watching, and they were watching at a pretty reasonable quality, and the target these days is for 10 million people, that's 50 terabits a second, which is more traffic than we're pumping right now. So there's a large amount of traffic there. We are working, as Jim said, to stay in the zone of 40% to 41% EBITDA margins. If there was – inside there are things, as Jim said, that can take you out of that zone. But that's our expectation at this point in time.
John M. A. Roy - UBS Securities LLC: All right. Thank you.
Operator: Your next question will be from the line of Vijay Bhagavath, Deutsche Bank.
Vijay K. Bhagavath - Deutsche Bank Securities, Inc.: Yeah, thank you. Hi, Tom. Hi, Jim. Question on your DIY comments. We could have the Bears pick on that comment tomorrow morning. So please clarify to us the DIY commentary around over-the-top and also help us understand what aspects of the media delivery business that some of these customers would be doing it themselves. And then would that be like a contagion that could spread potentially to some of the other customers? Thank you.
Frank Thomson Leighton - Chief Executive Officer & Director: Right. Again, we've been competing with DIY in our largest handful accounts for almost forever, over 10 years, certainly. And DIY is mostly used for the delivery of items where performance is not important or where maybe it's easier to do static objects is an example. DIY is not nearly the kind of competitor to us for things like live and linear broadcast or content that might move over the top in a pay subscription kind of model where a user expects very high quality, they are paying for it and it's very hard to do. So that's where DIY comes into play. A top few customers do it. And to be honest, over time, I think they find that it's not as productive as they thought to do it, and so sometimes a large customer will end their DIY capability, and then you will see them a few years later try to start another project. I know of one large account that's gone through the entire cycle twice. It's not something that I think even makes any sense at all for somebody who is not a giant media company, just – it's not going to be any kind of quality you'd want to have and it doesn't even make sense financially, I think. The very biggest media companies there, I think they've all tried it. Many of them use it and we have been competing with it for a long time very successfully.
Vijay K. Bhagavath - Deutsche Bank Securities, Inc.: And then a quick follow-on, Tom, on over-the-top. Could we view over-the-top more as an overlay service that would be accretive to EBITDA margins that over-the-top revenue dollars start flowing in? And then also with over-the-top, do you anticipate value-added opportunities such as student-forward (42:46), encryption, ad insertion? Would those be above and beyond how you monetize the core over-the-top traffic activity? Thanks.
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah, we monetize the end-to-end process for over-the-top, often with partners for some components of it. The large majority of the revenue there is with the delivery because of the scale and the enormous number of bits that might be carried if broadcast TV were to move over-the-top in a major way. It's not just free. There is substantial expense in actually delivering all that traffic and providing all that functionality. So it's not the kind of thing that just comes in as revenue with no cost associated with it. There is significant cost, including the build-out of the platform itself.
Vijay K. Bhagavath - Deutsche Bank Securities, Inc.: Excellent. Thank you.
Operator: Your next question will be from the line of Mark Kelleher, D.A. Davidson.
Mark D. Kelleher - D. A. Davidson & Co.: Great. Thanks for taking the question. If I look at your Performance and Security group, it looks like the sequential increase was entirely from the cloud security side. What's going on, on the other side, the web performance? What are your expectations there?
James Benson - Chief Financial Officer & Executive Vice President: Yeah, I mean, certainly that we had another very, very strong quarter in our Cloud Security Solutions, they grew 44% in Q2, they grew 44% again in Q3. You did see a slight moderation in, call it, the other businesses that are in there, the largest of which is our web performance business. We've seen a bit of a deceleration in their product line for the last few quarters. Bookings continue to be reasonable, as I've said before, that there is a tremendous amount of excitement with our sales teams in selling our new security offerings, and I think that there is a fair amount of focus in that area. So, yeah, we probably could do a little bit better in that segment, we know that. We're doing very strong in security, maybe not as strong in the web performance business. But I think it's – we're keeping at it. There's a significant market opportunity for us to further penetrate in that space. It's just a matter of continuing to execute and innovate.
Mark D. Kelleher - D. A. Davidson & Co.: Okay. Thanks.
Operator: Your next question will be from the line of Michael Turits, Raymond James.
Michael Turits - Raymond James & Associates, Inc.: Hey, guys. A couple of clarifications and then a question. So just to make sure what right that you did expect the media delivery to be flat to down next quarter?
James Benson - Chief Financial Officer & Executive Vice President: Yes.
Michael Turits - Raymond James & Associates, Inc.: And also, sort of a clarification is one – so through the two large accounts, a bulk of the impact was mostly DIY, organic slowing. But what really was the organic slowing due to?
James Benson - Chief Financial Officer & Executive Vice President: No, it's actually more – these three accounts, these big, big accounts do DIY and in a couple of these big accounts, Akamai is the exclusive CDN provider. No, this slowdown is not so much an increase in DIY. As Tom tried to outline, which is, overall traffic is lower. And so what's happening is that they've continued to build on DIY, which they've been doing all along and their traffic has moderated overall. They are serving more of the traffic themselves, and less is going to us. So if you generally look at it from a share perspective that yes, they are taking more of the share of the traffic, but it's because overall traffic in aggregate is less than expected.
Michael Turits - Raymond James & Associates, Inc.: Okay. And what's the reason for that slowing – that organic slowing of traffic?
James Benson - Chief Financial Officer & Executive Vice President: I mean, that's tough to tell. I mean, this is the nature of our business that we can't control how many people are doing a download, how many people are doing various things. So that's really an end user thing. So why it's slowing for our customers is difficult for us to assess.
Michael Turits - Raymond James & Associates, Inc.: Okay. And if I get one last one in there, Jim, just to – did I mention or did you talk about the CapEx rate going forward? Any thoughts on CapEx in 2016, obviously you haven't given guidance, but where we might think about it relative to the range?
James Benson - Chief Financial Officer & Executive Vice President: Yeah, I mean, I think what I did say, I mean I provided guidance for the quarter. I think we said that, we'd be, call it, in the low $80 millions (47:28) for CapEx. So we're going to be a little bit above my long-term model of 18% this year. Again, we're going to strive to manage the company, call it, around the 18% of revenue going forward. That's the long-term model that I've highlighted all along. There is going to be periods of time as we've had before, it could be at 17%. There could be a period of time where we're at 19%. I'm actually not going to quibble between a point here or there to be honest with you. We're going to make the investments that we think are the right investments for the business, either on R&D innovation, which is around software capital, or as Tom indicated, if we need to make more network CapEx investments because we think they're the right thing to do to support what we think is going to be coming demand, we'll do that. But generally speaking, we're going to strive to manage CapEx around 18% of revenue.
Michael Turits - Raymond James & Associates, Inc.: Okay. Thanks, Jim.
Operator: Your next question will be from the line of Philip Winslow, Credit Suisse.
Sitikantha Panigrahi - Credit Suisse Securities (USA) LLC (Broker): Hi, guys. This is Siti Panigrahi for Phil. I just wanted to ask on the gross margin side, you came in at the low end of the guidance and I think also guided below consensus. Just wondering how much of this impact due to the CapEx investment you did in the last few quarters versus some of the – co-location and bandwidth costs that you are seeing in the quarter.
James Benson - Chief Financial Officer & Executive Vice President: Well, it's largely from what we've talked about. We've been building out CapEx really for the first three quarters of the year in a fairly substantive way. If you take the year-to-date, CapEx as a percent of revenue has been well north of 20%. We're not expecting that for the full year, because you're seeing it moderate here in the fourth quarter. So as you build up more CapEx and you deploy more servers in the network and you are incurring co-location costs, you're going to see an uptick in cost of goods sold. And certainly, as we've talked about, we're building out, or we did build out in anticipation of wanting to make sure that we have the capacity available. We did signal that that may have near-term pressure on gross margins and that's what you're seeing.
Sitikantha Panigrahi - Credit Suisse Securities (USA) LLC (Broker): But any changes in terms of co-location and bandwidth costs in recent quarters?
James Benson - Chief Financial Officer & Executive Vice President: No. I mean no change in – from a color perspective around in general the market for bandwidth or co-location spending. As you can imagine that, bandwidth in particular that as you have contracts in some cases that you have fixed port arrangements that you're building out, and if you're not building those fixed ports at a fixed cost that you're not monetizing. But again, that's something that we signaled that it was a bet we were willing to make. If in fact, we've built out more capacity than is needed, we'll grow into it. And so that's effectively what we're doing.
Sitikantha Panigrahi - Credit Suisse Securities (USA) LLC (Broker): Okay. Thank you.
Operator: Your next question will be from the line of Heather Bellini, Goldman Sachs.
Heather Anne Bellini - Goldman Sachs & Co.: Great. Thank you. I've got a couple. I guess the first, going back to these DIY comments, I guess what I'm trying to parse, given the guidance for this segment in Q4, why isn't that going to persist for the next three quarters where you are going to be flat to down year-over-year? I mean this is the first quarter you've really made a big point about driving this home. So I'm not sure what's going to change over the course of the next three quarters that's going to make this growth rate be positive. So if you could comment on that. I know you are not trying to give long-term guidance, but it just seems like this is something that's going to persist until you anniversary it. I guess the other part of the question would be just as traffic growth flows and I guess – I just – I have listened to some conflicting data. You're trying to say that it's not because they are doing more in-sourcing when in the beginning it said that you were seeing more in-sourcing. I get that your – the share of traffic is going down because volume is slower. But these top three customers all seem to be building out their own CDN networks as well. So is there a chance that this is just a new trend that you are going to have to live with, with your share of traffic that's just going to continue to go down? So I guess what gives you the confidence that that's not going to happen? And then my last question – sorry, to put so many in there, but how do you get to that $5 billion target you laid out in 2020 without M&A being included for at least a few points per year of that CAGR you are forecasting? Thanks.
James Benson - Chief Financial Officer & Executive Vice President: Okay. That was a bunch. Let me try to take them in order. So I think we did signal in our guidance, I am not certainly providing guidance for 2016 on this call, but we certainly did signal that we do expect that what we're seeing here in the fourth quarter is going to continue into 2016. As you know, the nature of traffic is it spikes and as it goes up and it goes down. So it's difficult to predict whether, to your point, it is a wraparound and you go through this for three quarters and then you see it again in Q4. It's tough to tell. That is one possible scenario, the scenario that these customers' overall traffic volumes continue to accelerate and our share then increases. So these are customers that have planned to do DIY. They have been doing it for a while. It's very difficult to assess what's going to happen next year. But we do expect that there will be a moderation. As you've seen in the past, we've been surprised at the upside. As Tom mentioned, both in 2013 and 2014, we were talking about over-achievements in media growth, and we specifically talked about our large customers, and that's really what the driver was, the same phenomena. Also, it's fair to say that growth outside of these three customers in the media is doing very well. Our international growth is strong in the media business, and is strong in other segments of our U.S. market as well. So again, we're going to go through a period here. How much affect it has on growth rates in 2016, I think, remains to be seen. But we do expect to see this persist into 2016. And whether or not we're going to need M&A to hit our ambition for $5 billion that if you think about the markets that we are in, you look at the media market, and you think about the amount of traffic that could move online, that we would be poised to benefit from. That's a significant growth catalyst in the media business. Our Performance and Security Solutions by themselves have significant growth opportunities. And then there's new emerging areas that we are just barely getting into in cloud networking that by themselves could be huge growth opportunities for the company. So there's enough catalysts across the portfolio to certainly achieve the ambitions that we have. The challenge you have with the media business is sometimes the media business is in acceleration and aids you in your quest to get – the CAGR needs to be around 17% to get there. Sometimes it's going to be lower, but I think over time, there's enough growth catalysts in the company to be able to do that. It's a matter of innovating, and it's a matter of executing.
Heather Anne Bellini - Goldman Sachs & Co.: Okay. So M&A is not in your target then for 2020?
James Benson - Chief Financial Officer & Executive Vice President: Well, no, M&A is – I would say...
Heather Anne Bellini - Goldman Sachs & Co.: (55:18)
James Benson - Chief Financial Officer & Executive Vice President: We talked about the fact that – no, we don't have a specific number for M&A. We've been doing M&A where we think it makes sense for the company to either expand into an adjacent area that there has been technology tuck-ins that we believe that will help secure an area that we want to do from an innovation perspective. So we certainly did the acquisition of Prolexic, which did contribute revenue. Most of our acquisitions to date have not been revenue contributions, they've been more technology tuck-ins. That's not to say that we're not actively searching, and that there may be something that is of revenue contribution. But we don't have a specific target in mind for what M&A is going to be to deliver to the $5 billion ambition.
Heather Anne Bellini - Goldman Sachs & Co.: Okay. Thank you.
Operator: Your next question will be from the line of Mike Olson, Piper Jaffray.
Mike J. Olson - Piper Jaffray & Co (Broker): Hey. Good afternoon. So based on the slowdown in media revenue, I would imagine a lot of people are going to start looking for signposts to give us a sense for whether or not OTT is starting to take off to come in and rescue the media business. What would you suggest the timing of that is as far as more and more material OTT revenue, and what signposts would you watch for if you were us for getting a sense if we're getting closer to that?
James Benson - Chief Financial Officer & Executive Vice President: Yeah, we don't really know of any dates, in particular. I think in terms of watching for signposts, you'd look for offers that come to the market, you'd look for adoption rates of those services. Is it being successful, are users watching more video content online? And then we don't have any dates in mind that we're in a position to share around that. We're going to be ready and we're going to try to help enable it and then we'll see how things unfold next year.
Mike J. Olson - Piper Jaffray & Co (Broker): All right. And then on the security side, is it around 2,000 or so, maybe 5,500 total customers now that are using security around 35% to 40% of your customer base that are on a security solution?
James Benson - Chief Financial Officer & Executive Vice President: That's generally in the ballpark, yes.
Mike J. Olson - Piper Jaffray & Co (Broker): All right. Thanks a lot.
Operator: Your next question will be from the line of Colby Synesael, Cowen & Company.
Colby A. Synesael - Cowen & Co. LLC: Great. Thanks. Just wanted to go back to the performance portion of the business or DSA. That business, as you mentioned, Jim, has been, I think, weak relative to expectations for the last few quarters now. And I know you mentioned that really what needs to be done here is just better execution. But would you argue that it's more because the competitive dynamic in that aspect of the business has increased, which is making execution more difficult? Or is it that the products that you have right now are arguably ahead of where the market is in terms of demand, and we're just not there where you are seeing just a tremendous amount of demand whether it's for your products or either of your competitors' products in the segment of the business?
James Benson - Chief Financial Officer & Executive Vice President: Yes, I mean, I think it's difficult to tell that it's – certainly, we can execute better in that area. What share of it is driven by what drivers is tough to tell. There is certainly still a significant market opportunity for it. I think what we need to do is, in particular, and our sales team is doing this that you've got to go through multiple go-to-market motions both direct and indirect in being able to build out effective channel relationships to be able to sell this and get better acceleration on it that's not just from your direct sales force. It still is a product that requires a fair amount of handholding to be sold, so it's not an easily channeled sellable product. We're working on that. And so there's probably an element of that that is disruptive to being able to get that business back to where we need it to be. But we do think that with continued innovation on the product side, as well as maybe continued focus from a go-to-market perspective around not just going deep and wide with our customers. So the customers that we're going to try to up-sell them to the higher value ion offerings as well as getting new customers, that's really the recipe. It's about executing on the innovation side and executing on the go-to-market side.
Colby A. Synesael - Cowen & Co. LLC: Great. Thank you.
Operator: Your next question will be from the line of Ed Maguire, CLSA.
Edward Everett Maguire - CLSA Americas LLC: Yes. Good afternoon. Just a question on traffic volume. So a few years ago, you had this phenomenon of the number of customers renegotiating their rates for large contracts. And I was wondering if that's a dynamic that you expect to come into play over the next couple of quarters. In other words, if the rate of growth in traffic at these largest customers is slowing, are they still paying a higher tariff? And is there risk of downward resets among some of your other customers on volume-based pricing?
Frank Thomson Leighton - Chief Executive Officer & Director: Pricing steadily declines. And I would say in the period we are in now, it's pretty normal; nothing unusual or no bad news there in terms of our revenues. So now when customers send more traffic to us, they often get a lower price. So you have large volumes and traffic costs less per bit than small volumes and traffic. But if you look at constant amount of traffic through time, pricing steadily decreases, and there's really no fundamental change there.
Edward Everett Maguire - CLSA Americas LLC: Okay. And if I may, the international growth is really strong. Is there an appreciable difference in the composition of the revenue contribution from your customers outside the U.S. that's really behind that growth? And is that itself sustainable as well in your view?
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah, we are very pleased with the growth in the international markets. It accelerated over Q2 that – I would say that we still think there's huge opportunity to continue to grow the international markets faster than our U.S. markets, for sure. But as far as the mix, actually, the mix contribution between Media, Performance and Security, and Services and Support is roughly similar across all three geographies. Admittedly, though, in the EMEA and APJ (62:22) geographies that there isn't any significant concentration from customers. And so they call it the diversification of their customer base is a little bit broader whereas in the U.S., we have very, very large U.S. media customers that tend to have a pretty high share of some of our U.S. media business. And so obviously when you have a downturn there, notable both for the U.S. market as well as the total companies, but that just gives you maybe a little bit of color on the mix profile.
Edward Everett Maguire - CLSA Americas LLC: Great. Thank you.
Operator: Your next question is from the line of Michael Bowen, Pacific Crest.
Michael Bowen - Pacific Crest Securities: Okay. Thank you. Good afternoon. I hate to beat a horse here, but the more I listen to the call, the more I still keep coming back to the fact that we don't really seem to know collectively when or if the traffic volumes on the media side are going to improve. So maybe coming at it from this side, can you guys talk a little bit about what your thoughts are with regard to over-the-top as far as a TAM? And then give us some thoughts with regard to perhaps adoption in 2016. What's your – obviously, you are spending a lot of CapEx as a percentage of revenue to address this opportunity and others. So I'm trying to get a better gauge on timing and magnitude of this opportunity because right now weakness will continue into 2016 was your statement. But I have to think that that turns if OTT manifests like a lot of us think it will. Thanks.
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah, I really can't comment on adoption rates in 2016. I wish I could, but I can't. But the TAM, what hypothetically could be possible is very large. Just think about all the people that watch TV, and imagine if even a very small portion of them started watching TV online. And you think about what quality they might do that at someday. The old DVD format, I say old, but the DVD format is about four megabits per second, compressed 4K. Sort of the next gen format is 16 megabits a second. The average of that is 10 megabits a second, and that's where we see the major broadcasters having an interest in targeting bandwidth rates for watching a single stream at 10 megabits a second. And as I mentioned earlier that if you had five million people doing that at the same time, that's 50 terabits a second and that's a heck of a lot of traffic, and that's only five million people. Now, you think farther into the future, some people think that someday, I don't know if it's by the end of the decade or not, that maybe most watching, there's more watching online than on TV, the traditional mechanisms. And that's hundreds of millions of people and maybe 1 billion someday. So when you think about the TAM, it's an enormous TAM. And that's why I think there's so much interest, not here, but in the industry, around OTT. Now, I know you all are interested, as are we as when does that start. And we don't know. We are, to the point, today where we can enable it from the technology perspective and from the financial perspective. We can do it at a good quality, we can do it at scale, not 1 billion yet, 1 billion viewers, but certainly the scale where we would start out and we can do it at a reasonable price point that can enable that to take place. And from there, we are watching and working with the industry to try to facilitate that to happen. But a lot of that is beyond our control. Certainly, the users at the end of the day, the subscribers, will dictate how much watching is done OTT.
Michael Bowen - Pacific Crest Securities: And that's helpful. I mean clearly, we have two dynamics here, right? You've got whether or not overall traffic is going to increase, and I think it probably will due to OTT. But then you have got the DIY versus coming to you. So if you look at some of the smaller media companies, is there some type of threshold, or how can we think about what size company out there may think – how big do you have to be to do it yourself versus coming to you? How do they make those decisions? What are those breakpoints?
Frank Thomson Leighton - Chief Executive Officer & Director: We only see meaningful DIY in a handful of accounts, and it's not for live linear video. Now that doesn't say that someday people won't be doing DIY themselves for OTT broadcast content OTT. But we don't really see that today. The DIY we see is a handful of very large media accounts, and it's focused on more static – the delivery of static content and often where performance doesn't matter. Obviously, with paid subscription OTT, performance matters a lot, or the subscriber is not going to pay. They're not going to be happy. And as we look across the major broadcasters today, I really don't see DIY as being a factor there, at least for now.
Michael Bowen - Pacific Crest Securities: Okay. Thank you.
Operator: Your next question will be from the line of Greg McDowell, JMP Securities.
Rishi Jaluria - JMP Securities LLC: Hi. This is Rishi Jaluria dialing in for Greg McDowell. Thank you for taking my questions. Mostly follow-up questions on all the stuff we've been discussing. First, just wanted to go a little bit deeper on CapEx. I know you have mentioned in the past that your CapEx is mainly server build-out preparing for this OTT opportunity. Putting aside questions around the timing of when OTT will become more widespread or see that adoption, at what point do you think Akamai in terms of its server build-out and capacity is going to be ready for that opportunity whenever it comes?
James Benson - Chief Financial Officer & Executive Vice President: I mean, that's, obviously, we are building out based on discussions that we have with folks in the ecosystem. We've certainly – what is a lot of uncertainty about what is going to get introduced, when it's going to get introduced, what the adoption rates are going to be. So as Tom indicated, yes, we have done build-out and the build-out means that we have available capacity. It is an (69:17) infinite capacity, obviously. This would be, call it, we built out capacity for what could be the first wave of some level of over-the-top. I think we certainly did signal that we do expect generally traffic moderation going into 2016. And I do believe – just to be clear, I do believe that there are – the biggest catalyst that's going to cause traffic growth to reaccelerate is going to be continued movement of premium content online. The rate and pace of that is very, very difficult to assess. I mean, some of it is being done now. So it's not like it's not being done now, it's just being done now on a very much smaller scale. The question is when does it start to get hold in a more fulsome scale, and I think that will be the catalyst. But I think without that, I think there are certainly headwinds that we have going into 2016 on traffic, just to be very clear. I think Heather asked earlier that is tough to tell with these large three customers what their traffic volumes are going to do, whether their traffic volumes accelerate or not. So there's a bunch of dynamics that will have an impact on the media business in the near term. So I just want to make sure we're clear that we think that there are certainly catalysts to grow this business in the medium term to long term. We're not calling out guidance here for 2016, but it's just important to be clear with you that certainly we do see deceleration in traffic. We do think that there are going to be catalysts for traffic growth. The question is rate, pace, and timing.
Rishi Jaluria - JMP Securities LLC: Okay, great. And then following up on OTT, you did mention it's a major opportunity for Akamai. And you also mentioned on this call that you're seeing slowdown in growth with your three largest, let's call it, U.S. media delivery customers. I just wanted to get a better handle on how significant that OTT opportunity internationally outside the U.S. can be.
Frank Thomson Leighton - Chief Executive Officer & Director: Well, I think the math is the same. It could be very significant. There's obviously a lot more TV watchers and people online outside of the United States than here. Many countries are better connected with their Internet than here. So in the long run, I would say it's a larger market, potential market outside the U.S. than inside the U.S.
Rishi Jaluria - JMP Securities LLC: Okay, great. And then in terms of – you touched on your partnership with Microsoft. Is this primarily going to be an impact on the Performance and Security side of the business versus the Media side? And what sort of impact do you think that it could have on the company over the next several quarters?
Frank Thomson Leighton - Chief Executive Officer & Director: Well, I would hope it would have a positive benefit to both our Media business and our Performance business and our, for that matter, our Security business. That Microsoft will be selling all of our services and in terms of the basic Azure CDN capability, you will be able to automatically take advantage of Akamai's base level CDN capabilities.
Rishi Jaluria - JMP Securities LLC: Okay, great. And then last one, I will jump off. But it looks like this quarter the rate of employee addition is a lot slower than it's been in, I don't know, let's call it, the past six quarters. Was this primarily the result of cost controlling, or was this more in anticipation of this slowing down of traffic growth that you talked about?
James Benson - Chief Financial Officer & Executive Vice President: Certainly, when we guided for the quarter for Q3 that we certainly did guide that OpEx expense was going to slow, we certainly had better visibility of what we thought was going to be happening going into Q4 as the quarter progressed. And so we did moderate hiring as the quarter progressed.
Rishi Jaluria - JMP Securities LLC: Okay, very helpful. Thanks a lot, guys.
Tom Barth - Head-Investor Relations: Okay. Well, thank you. I appreciate there is a few more in the queue, but we are well overtime. So I apologize if we weren't able to answer your questions today. But in closing, we want to thank you for joining us. We'll be participating on a number of investor conferences and events in November and December. Details of these can be found in the Events section on the Investor Relations website at akamai.com and we look forward to seeing you at those events. Thank you again for joining us and have a nice evening.
Operator: Ladies and gentlemen, that concludes today's conference. We thank you for your participation. You may now disconnect. Have a great day.